Operator: Good day, everyone, and welcome to Charles River Associates First Quarter 2023 Earnings Conference Call. Please note that, today's call is being recorded. The company's earnings release and prepared remarks from CRA's Chief Financial Officer are posted on the Investor Relations section of CRA's website at crai.com.  With us today are CRA's President and Chief Executive Officer, Paul Maleh; Chief Financial Officer, Dan Mahoney; and Chief Corporate Development Officer, Chad Holmes. At this time, I'd like to turn the call over to Mr. Mahoney for opening remarks. Dan, please go ahead. 
Dan Mahoney: Thank you, Rob, and good morning, everyone. Please note that statements made during this conference call, including guidance on future revenue and non-GAAP EBITDA margin, and any other statements concerning the future business operating results or financial condition of CRA, including those statements using the terms expect, outlook or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain. Actual performance and results may differ materially from those expressed or implied in these statements, due to many important factors, including the level of demand for our services as a result of changes in general and industry-specific economic conditions. Additional information regarding these factors is included in today's release and in CRA's periodic reports, including our most recently filed annual report on Form 10-K, and quarterly reports on Form 10-Q filed with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant currency basis on this call. Everyone is encouraged to refer to today's release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA, and measures presented on a constant currency basis. I will now turn it over to Paul for his report. Paul? 
Paul Maleh: Thanks, Dan, and good morning, everyone. Thank you for joining us today. During the first quarter CRA continued to build momentum in the business and demand for our services. Revenue increased to $152.8 million the highest quarterly revenue in the company's history. Our North American and international operations both expanded in the first quarter led by our international operations, which grew by 8.8% year-over-year, fueling this expansion was a 10.7% year-over-year increase in consulting headcount and a utilization of 70% during the first quarter. I'm excited that top talent continues to make CRA a destination of choice. This expanded and talented collection of CRA colleagues will continue to provide ample opportunities for value-creating growth in the quarters ahead. On a constant currency basis CRA reported year-over-year growth of 5.1% and non-GAAP EBITDA margin of 11.4%. Both metrics are squarely in the range of our previously announced annual financial guidance for fiscal 2023. Turning to our service offerings. CRA's legal and regulatory practices drove our overall revenue growth. For practices Antitrust & Competition Economics, Financial Economics, Forensic Services and Labor & Employment grew year-over-year with Forensic Services and Labor & Employment each posting double-digit revenue growth. I would now like to spend a few minutes highlighting the market for our services and some of the projects delivered to our clients during the first quarter. Our Antitrust & Competition Economics practice established a new high for quarterly revenue as work continued on merger-related projects and demand for antitrust services remained strong, despite a challenging backdrop. Worldwide M&A activity as measured by aggregate transaction value fell to a decade low in the first quarter of 2023 and declined 44% and compared to the first quarter of 2022. As such, the competition practice experienced an 18% decline in lead flow of merger-related opportunities in the first quarter of 2023, relative to a year ago. However, the ongoing strength of the practice overcame these industry trends. The practice saw overall project lead flow, including both merger-related and non-merger-related opportunities, expand by more than 20% in the first quarter relative to a year ago partially fueling the practice's increase in revenue year-over-year. During the quarter, CRA's Antitrust & Competition Economics practice continued to support clients on high-profile mergers in several industries, including consumer technology, software hardware, and industrial products. For example, a CRA team supported the merger of Capco and Shaftesbury two UK registered real estate investment trusts and landlords of lettable units in Central London. The merger will bring together the party's complementary property portfolio resulting in a mixed-use portfolio of approximately 670 buildings, with about 2.9 million square feet of lettable space. After a Phase one review, the UK's Competition and Market Authority, in line with the analysis prepared by CRA, found no evidence that the merger would lead to a substantial lessening of competition and unconditionally cleared the acquisition. In addition to their merger review work, CRA's Antitrust & Competition Economics practice, continue to support clients in legal disputes. During the first quarter, CRA consultants prepared and delivered expert reports and testimony and antitrust class actions, international disputes and other matters arising from competition claims. For example, multiple CRA experts were engaged to support a client's trademark infringement and unfair competition claims in US District Court. The experts and their teams developed analyses and provided expert opinions with regard to trademark valuation, consumer surveys, damages and monetary relief. Looking more broadly, the legal market delivered mixed trends during the first quarter. Total case filings were up 5% year-over-year. However, the number of total court judgments declined 5% relative to the first quarter of 2022. CRA bucked these trends and grew revenue from its legal and regulatory offering by nearly 7% in the first quarter. During the quarter, mortgage lending experts in CRA's Financial Economics practice group provided testimony in support of a mortgage servicer in a litigation matter, alleging discrimination in the maintenance and marketing of foreclosed homes. The practice also continues to assist several banks and mortgage companies and responding to regulatory investigations, concerning potential discriminatory red lining. CRA provided statistical analysis of the client's geographic lending patterns in relation to other lenders in the market and in some cases, assisted the client in resolving the matter with a regulatory agency. The Forensic Services practice continues to experience strong demand from Boards and C-suite clients, seeking assistance with investigations into alleged fraud, cybercrime, trade secret theft, and other misconduct. The team investigates and responds to hundreds of cyber incident response matters per year. In the last quarter, we assisted a publicly traded software company in responding to an unauthorized incident, involving its corporate network. We help the health care system respond to a six-month unauthorized intrusion. We assisted a leading North American insurance brokerage respond to and recover from a massive ransomware incident. Leveraging our digital forensic competencies, the practice also helped multiple clients investigate allegations of trade secret theft, including a global financial markets trading company and a major pharmaceutical and medical device company. Finally, our forensic accounting and e-discovery capabilities to assist the audit committee of a publicly traded insurance company, investigated allegations that its former Chief Marketing Officer had embezzled millions of dollars. CRA's Labor & Employment practice continues to be engaged across industries, including finance, health care, legal and entertainment to help clients proactively navigate recent restructuring activities, as companies adjust to changing economic conditions. During the first quarter, CRA consultants were regularly retained to assist clients in making annual performance and compensation decisions in order to proactively assess internal equity concerns. Separately, the practice continues to be a critical partner for clients entering mediation on multiple California wage and hour and federal fair labor standards at lawsuits. CRA's deep expertise and employment matters also led to multiple client retentions on actions brought by individuals' class or collectives and the Equal Employment Opportunity Commission. The practice also held a retreat during the first quarter that brought together leaders to commemorate the one-year anniversary of the acquisition of Welch Consulting. The gathering focused on expanding efforts to leverage the team's more than 500 years of combined labor and employment consulting experience. For the company as a whole, we continue to replenish our sales pipeline. Project lead flow increased in the first quarter by more than 10% year-over-year, after adjusting for the Welch Consulting projects acquired one year ago. The projects on the strong -- this builds on the strong lead flow generated during the fourth quarter of 2022. Together, the past six months represents the strongest period of lead flow activity in CRA's history. While we're pleased with the record lead flow over the past two quarters, our new project originations remained roughly flat year-over-year after adjusting for the Welch Consulting transition projects. During the first quarter, we observed a delay in the conversion of leads into new projects. Based on an examination of lead composition and discussions with our leading revenue generators, we see no evidence relative to our history over the past several years that we are losing projects more frequently to competitors. Instead, it appears that clients are delaying their decision to begin work on their projects. Turning to guidance. Based on our first quarter performance, we are reaffirming our financial guidance for full year fiscal 2023. As a reminder, our previously stated guidance is provided on a constant currency basis relative to fiscal 2022 and calls for expected revenue in the range of $615 million to $640 million and non-GAAP EBITDA margin in the range of 10.8% to 11.5%. Overall, I'm grateful to my colleagues for their hard work during the first quarter as we helped our clients address their most important challenges. With that, I'll turn the call over to Chad and then Dan for a few additional comments. Chad?
Chad Holmes: Thanks Paul. Hello, everyone. I want to update you on our capital deployment during the quarter. We concluded the quarter with $35.5 million of cash and $100 million of borrowings under our revolving credit facility, resulting in a net debt position of $64.5 million. The borrowings were primarily to fund bonus payments, which is consistent with our practice in prior years. In addition to the normal bonus cycle, the first quarter of 2023 also saw cash outlays of $16.8 million for forgivable loans in connection with talent investments. We spent $600,000 on capital expenditures. For fiscal 2023, we expect to spend $5 million to $6 million on capital expenditures. We also returned a total of $23.3 million to our shareholders during the first quarter, consisting of $2.7 million of dividend payments and $20.6 million for share repurchases of approximately 181,000 shares. We have approximately $22.3 million available under our share repurchase program. With that, I'll turn the call over to Dan for a few final comments. Dan?
Dan Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under prepared CFO remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the first quarter of fiscal 2023. In terms of consultant headcount, we ended the quarter at 972, which consisted of 158 officers, 535 other senior staff, and 279 junior staff. This represents, a 10.7% increase compared with the 878 consultant headcount reported at the end of Q1 fiscal 2022. Non-GAAP selling general and administrative expenses excluding the 2.3% attributable to commissions to non-employee experts was 16.2% of revenue for the first quarter of fiscal 2023 compared with 14.4% a year ago. This quarter's ratio was primarily impacted by an increase in travel and entertainment expenses. The effective tax rate for the first quarter of fiscal 2023 on a non-GAAP basis was 29% compared with 26.5% on a non-GAAP basis for the first quarter of fiscal 2022. The higher rate in the first quarter of 2023 was largely attributable to a lower benefit arising from the accounting for stock-based compensation and an increase in the UK statutory rate from 19% to 25%. For the full year fiscal 2023, we expect our non-GAAP effective tax rate to be in the range of 28% to 30%. Turning to the balance sheet. DSO at the end of the first quarter was 112 days compared with 114 days at the end of the fourth quarter of fiscal 2022. DSO in the first quarter consisted of 70 days of billed and 42 days of unbilled. We concluded the first quarter of fiscal 2023 with $35.5 million in cash and cash equivalents and a further $94.3 million of available capacity on our line of credit for total liquidity of $129.8 million. That concludes our prepared remarks. We will now open the call for questions. Rob, please go ahead.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Andrew Nicholas with William Blair. Please proceed with your question.
Andrew Nicholas: Good morning. Thanks for taking my questions. I wanted to start on the talent environment really strong hiring growth again year-over-year. If you could just spend some time talking about retention at the firm, how easy it is to get talent right now and your success on the recruiting front that would be helpful.
Paul Maleh: Good morning, Andrew. Consulting headcount as we stated increased 10.7% year-over-year. With that, we had 33 net new additions in Q1 with approximately 75% of those additions arriving in our Competition and our Forensic practices, two of our top-performing units. I'm excited that top talent continues to make CRA a destination of choice, and we feel pretty good that this expanded and talented collection of CRA colleagues will continue to provide sort of ample opportunities for value-creating growth in the quarters ahead. With respect to attrition, it's a little too early to call namely because historically, we only experienced about 15% of our total annual attrition in Q1. Thus we're going to see how the year continues to unfold and adjust our hiring plans accordingly. Does that get to your question answer Andrew? 
Andrew Nicholas : Yes. That's helpful. Thank you. And then I was hoping you could speak to the Life Sciences business both in the quarter and just overall thoughts on the health of that end market right now? And then relatedly any early signs or takeaways from buyout strategies and holding that into the firm? Thank you.
Paul Maleh : Sure. Management Consulting led by Life Sciences and the energy practice has been a source of growth for CRA over the past five years. Unfortunately, more recently the group's performance has been more of a sawtooth pattern. I remain confident in both practice's ability to drive growth for CRA going forward. We just have to sort of -- I'm fine with quarter-to-quarter volatility, I would just like to see more of an upward ascension of that curve. But we haven't lost any revenue generators there. They continue to work hard to drive that demand. So I think it really is just a matter of time. Lead flow into Life Sciences in Q1 was slightly less than what I would say was expected at the time. But I think, again, with one quarter in the bank, we're going to wait to see how the year unfolds.
Andrew Nicholas : Very helpful. Thank you.
Paul Maleh : Thank you, Andrew.
Operator: Our next question is from Kevin Steinke with Barrington Research. Please proceed with your question.
Kevin Steinke : Hey, good morning everyone. I wanted to start off by asking about the lead flow within the Antitrust & Competition Economics practice that you referenced, I think you said lead flow up what 20% for the practice despite an 18% decline in M&A-related lead flow. So can you touch on what's driving that strength in lead flow despite some current headwinds from the M&A market?
Paul Maleh: Sure. Good morning, Kevin. I've said it many times I'm very fortunate to work with such a talented group of colleagues within our Antitrust & Competition Economics practice. I do think they are the premier provider of services worldwide, and the continued strength that it almost appears quarter after quarter we're talking about record levels of performance. The lead flow is coming in. We received -- even though M&A, lead flow is down year-over-year we're still getting the calls. We're just not getting those leads converting into revenue-generating projects at this time. And I think that has more to do with the general uncertainty and the broader market than anything to do with CRA or the competitors for those revenue opportunities. So antitrust is still at the forefront of regulatory bodies here in the States and abroad and I don't see that changing in the next few years. So I think we are well positioned to capitalize on those opportunities. 
Kevin Steinke : Okay. Great. And you did reference although project lead flow for the firm as a whole was up 10% year-over-year in the first quarter that new project originations were flat. And you just touched on the delay in conversions maybe due to some macro -- the macroeconomic uncertainty. Is that -- are those delays fairly broad-based across the firm, or is it confined to a few practices? Just trying to get a sense as to how broad-based those delays are that you're seeing?
Paul Maleh : Yes. When -- anytime I see lead flow going up as strongly as it did for the firm and then seeing new projects remain flat the first concern is always am I losing market share? Am I losing more than my historical norm to competitors? And our closer examination says, no. First, the decline in conversion of leads to new revenue-generating projects was pretty evenly experienced across our portfolio of services. So I can't point to one practice versus another who had an unusual experience during Q1. Second, we went to our top revenue generators, individuals who normally convert in the 80% 90% of leads into revenue-generating projects to inquire what they are experiencing because they too experienced a reduction in those conversion rates. And what we're hearing is clients calling asking for us to clear conflicts, but not yet pulling the trigger on the litigation-related matter or on just delaying the announcement of their merger until they have more ideal market scenarios there. So, I'm hopeful that these leads are still revenue opportunities for the firm. I think that is forthcoming. The challenge that we have is I don't know when but I do think the revenue opportunities are still in CRA's grasp. 
Kevin Steinke: Okay. And I guess at this point it hasn't affected your outlook for the year. You reiterated the guidance. So you still feel pretty good about the way the year is shaping up I guess. 
Paul Maleh: Yes. More is always better. And I believe the firm is well-positioned to deliver higher revenue but these just market uncertainties sometimes get in the way. I don't think the overall value proposition that we see in our portfolio has changed from when I issued the guidance and I remain hopeful of even stronger times ahead. 
Kevin Steinke: Okay, great. I just want to ask about consultant utilization 70% down a little bit from your typical kind of mid-70s rate. Is that somewhat related just to the strength of the hiring and you're getting people ramped up, or any color on that particular metric in the quarter? 
Paul Maleh: Yes, I mean I will start by saying that the mid-70s utilization point is our target for the portfolio as currently constituted. We have delivered mid-70s utilization for quite frankly I think as far back as a decade. that's on an annual basis. Of course you will get some volatility quarter-to-quarter. The mid-70s still remains our long-term target. And we're going to do our best to sort of match that headcount with what we see as the revenue opportunities. Our ability to hire top talent seems to be getting stronger and I will take that because getting the best and brightest is never easy. And if it leads to short-term depression in our utilization, I'm going to take that Kevin because I know for the quarters ahead that's what's going to be driving our revenue and since the resources are in place driving profitable revenue growth. 
Kevin Steinke: Okay. Well, thank you for taking the questions. I'll turn it over.
Paul Maleh: Thank you, Kevin.
Operator: Our next question is from Marc Riddick with Sidoti & Company. Please proceed with your question,
Marc Riddick: Hey, good morning.
Paul Maleh: Good morning Marc.
Marc Riddick: So, I was wondering if you could touch a little bit on something that you made mention of but I sort of want to get my arms around a little bit. You were talking about some of the data around filings and judgments. And if I heard it correctly I think you said filings were down sorry up 5% year-over-year judgment is down 5% year-over-year. Was that right? 
Paul Maleh: Correct. 
Marc Riddick: Okay. So, I just wanted to touch a little bit on maybe some of the causes that you might be seeing in that gap and maybe just kind of what that means for CRA going forward? 
Paul Maleh: I'm hesitating because I just don't want to repeat myself with some of the views that we have. The leads are there. Our aggregate lead flow is still growing at a faster rate than what we're observing in terms of new opportunities. So I'm happy about that. I always want to look for over longer periods of time with respect to court judgments and not read too far into a down quarter on that. I don't know whether that's tying to more of a delay strategy of our clients in courts with respect to filings or pushing litigations forward. That remains to be seen. But I always like to see aggregate market expanding. I always like to see CRA's growth outpacing that aggregate market level. 
Marc Riddick: Okay. And then I was -- shifting over toward the -- one of the things that was mentioned in the press release I believe was the international performance which was up fairly nicely. I was wondering if you could touch a little bit on that? 
Paul Maleh: Yes. A lot of credit goes to our antitrust and competition colleagues in Europe. We're seeing expansion by our leaders in that marketplace and that's with the currency headwind. So the 8.8% growth of our international operations year-over-year does not take into account or is not on a constant currency basis. That growth would be even higher if I stated it on a constant currency basis. So I think our colleagues in competition are driving ahead. We're also getting nice contributions from our colleagues in the life sciences area. 
Marc Riddick: Okay. Excellent. And then, I think, we've touched on this in the past but maybe you can sort of give us just a quick update on the general pricing environment? It seems as though just from the outside looking in that rates are not being pressured unnecessarily by the economic conditions but give some color on that too? Thanks.
Paul Maleh: Sure. With every quarter we have a little more insight as to the stickiness of our rate increase. With Q1 right now in the bank what I can say is things are going pretty much as expected. New cases are being put forth with our new rate sheets that have higher fiscal 2023 rates. They're being accepted by clients. Our levels of write-offs are unchanged, which means the level of acceptance of those rates remains pretty consistent with what we have experienced historically. So I'm pretty pleased with what we have to-date. Hopefully, Q2 and beyond continues form. 
Marc Riddick: Excellent. Thank you very much.
Paul Maleh: Thank you.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back over to Paul Maleh for closing comments. 
Paul Maleh: Again thanks to everyone for joining us today. We appreciate your time and continued interest in CRA. We will be participating in meetings with investors in the coming months and we look forward to updating you on our progress on our second quarter call. That concludes today's call. Thank you, Rob. 
Operator: You're very welcome. This concludes our call today. You may disconnect your lines at this time. And we thank you for your participation.